Operator: Thank you for standing by, and welcome to the Capital Product Partners Second Quarter 2019 Financial Results Conference Call. We have with us, Mr. Jerry Kalogiratos, Chief Executive Officer of the company. At this time, all participants are in listen-only mode. There will be a presentation, followed by a question-and-answer session. [Operator Instructions] I must advise you this conference is being recorded, today, the 31 July, 2019.The statements in today’s conference call that are not historical facts, including our expectations regarding cash generation, our ability to pursue growth opportunities, our expectations or objectives regarding future distribution amounts and our expectations regarding employment of our vessels, re-delivery dates and charter rates may be forward-looking statements, as such as defined in Section 21E of the Securities Exchange Act of 1934, as amended.These forward looking statements involve risks and uncertainties that can cause stated or forecasted results to materially -- to be materially different from those anticipated. Unless required by law, we expressly disclaims any obligation to update or revise any of these forward-looking statements, whether because of future events, new information, a change in our views or expectations to conform to actual results or otherwise. We assume no responsibility for the accuracy and completeness of the forward-looking statements. We make no prediction or statement about the performance of our common units.I would now like to hand over to your speaker today, Mr. Kalogiratos. Please go ahead, sir.
Jerry Kalogiratos: Thank you, Tracy, and thank you all for joining us today. As a reminder, we'll be referring to the supporting slides available on our website as we go through today's presentation. As previously announced, we concluded on March 27, the spin-off of the partnership's tanker fleet and subsequent merger with DSS Holdings, forming Diamond S Shipping.Accordingly, we present our financial results from the second quarter 2019 as well as comparative periods on a continuing operations basis except where reference is made to discontinued operations. The partnership's net income from continuing operations for the second quarter improved to $8 million compared with net income from continuing operations of $4.2 million for the second quarter of 2018.Our Board of Directors declared the cash distribution of $0.315 per common unit for the second quarter of 2019. The second quarter cash distribution will be paid on August 15th to common unitholders of record on August 2. Common unit coverage for the second quarter 2019, after adjusting for the capital reserve, stood at solid 1.5 times.We're pleased that the partnership has secured long-term employment for the two 8,000 TEU containers of the Agamemnon and Archimidis with MSE increasing its charter coverage to 100% and 91% for the remainder of 2019 and 2020 respectively. Correspondingly, the partnership's remaining charter durations stood at the end of the second quarter at five years.Turning to slide 3, revenues for the quarter decreased by 5% to $27.4 million compared to the second quarter of 2018. The decrease was primarily attributed to the decrease in the average number of vessels in our fleet, following the disposal of the Amore Mio and the Aristotelis, partially offset by the increase in the average charter rates and by certain of our vessels compared to the second quarter of 2018.Please note that the two tankers are included in the presentation of our continuing operations as they were sold before the transaction with Diamond S.Moving on, total expenses for the quarter were $15.3 million compared to $20.1 million in the second quarter of 2018. Voyage expenses for the quarter decreased to $0.6 million compared to $2.3 million in the second quarter of 2018, as all our vessels were employed under time charters during the quarter.Total vessel operating expenses during the quarter amounted to $6.5 million compared to $7.8 million during the same period in -- 2018. The decrease in operating expenses was mainly due to the decrease in the average number of vessels in our fleet.Total expenses for the second quarter of 2019 also include vessel depreciation and amortization of $7.2 million compared to $8.6 million in the second quarter of 2018, due to the decrease of the average number of vessels in our fleet.General administrative expense for the second quarter of 2019 amounted to $1 million compared to $1.5 million in the second quarter of 2018. The partnership recorded net income from continuing operations of $8 million for the second quarter of 2019 compared to $4.2 million for the second quarter of 2018.Turning to slide 4, you can see the details of our operating surplus calculations that determine the distributions to our unitholders compared to the previous quarter. Operating surplus is a non-GAAP financial measure, which is defined fully in our press release.We have generated approximately $16.7 million in cash from our continuing and discontinued operations for the quarter, before accounting for the capital reserve. We allocated $7.7 million to the capital reserve in-line with the previous quarter. After adjusting for the capital reserve, the total adjusted operating surplus amounted to $8.9 million, which translates into approximately 1.5 times common unit coverage.I would like to once again highlight that our capital reserve of $7.7 million per quarter of $13.8 million per year, which is equal to our debt amortization is a conservative reserve, and well in excess of the quarterly book value vessel depreciation of our vessels.On slide 5, you can see the details of our balance sheet. As of the end of the second quarter, the partner’s capital amounted to $408.7 million, a decrease of $472.6 million, compared to $881.3 million as of year-end 2018. The decrease was primarily due to the spinoff of the tanker business, distributions declared unpaid in the first half of 2019, and the total net loss of $131.5 million for the period, including an impairment charge of $149.6 million related to the DSS transaction.Total debt decreased by $168.1 million to $277.8 million compared to $445.9 million as of the end of 2018. The decrease is attributable to the prepayment of our debt of $146.5 million in connection with the DSS transaction and scheduled principal payments during the period.Total cash as of quarter end amounted to $63.1 million. Following the reduction in the number of our ships in connection to the DSS transaction, the restricted cash amounted to $5.5 million, down from $18 million at the fourth quarter of 2018.Turning to Slide 6, we're pleased that we have agreed to enter the new long-term time charters with MSC for the Agamemnon and Archimidis are two 8,000 TEU containers. The charters are conditional on both vessels installing scrubbers. The Agamemnon is expected to be delivered to MSC in mid to late August after completing its scrubber installation as well as the retrofitting of a ballast water treatment system and passing its special survey. The current estimated off-hire for completion of its works under ballast leg to the shipyard is approximately 50 days.The Archimidis is expected to commence its new time charter at the end of the fourth quarter of 2019 or early in the first quarter of 2020 and after completing the installation of the scrubber and ballast water treatment system as well as passing of special survey.We believe that this charter significantly increase the Partnership's cash flow visibility and underpin well its common unit distributions. As a general update on scrubbers retrofits projected off-hire for the rest of the year, please note that we currently do not expect any additional scrubber retrofits other than the Agamemnon during the third quarter.In the fourth quarter, we expect a three to four of our 5,000 TEU vessels that are chartered to HMM will undergo scrubber retrofitting in addition to the Archimedes, which is expected to commence scrubber on ballast water treatment system retrofit and passing of special survey towards the end of the fourth quarter.Finally, I would like to remind you that under our agreement with HMM, the total off-hire per vessel for scrubber retrofits is capped at 12 days per vessel.Moving to Slide 7, in view of their two new charters, the average remaining charter duration of our fleet is solid at five years with 100% and 91% charter covenants for 2019 and 2020, respectively.On Slide 8, we review the container market. Demand for vessels with capacity of 8,000 TEU or more has increased further during the second quarter of 2019, compared to the previous quarter. As a result, time charter rates for periods of six to 12 months generally moved higher in the region of high-20s to $30,000 per day.One of the key drivers of the incremental demand for large Neo-panamax vessels has been the reduced capacity available to liner companies due to scrubber installation-related off-hire, affecting a number of container vessels. It is estimated that 9% and 16% of total TEU capacity will be installed with scrubbers in 2019 and 2020, respectively.As a consequence, there are currently no idle 8,000 TEU vessels are not expected to open for at least the next four weeks. In light of the above, slippage has fallen to 19% in the first half of 2019 from 41% in the first quarter of the year as operators are taking timely delivery of vessels due to lack of large container units from the charter market. As various services see blank sailings, the units are used to cover vessels in extended drydock for scrubber installation.Container demolition was estimated approximately 119,000 TEU in the first half of 2019, compared to 34,000 TEU in the same period last year. The container order book remains close to historical lows and now stands at 11% of the total worldwide container fleet, down from 12.6% at the end of March 2019.Overall, industry analysts expect that demand for container vessels in 2019 will grow at a rate of 3.4% and that the demand growth rate will outstrip the estimated supply growth rate of 2.9%, excluding vessels, which currently, will go for drydock due to scrubber installation.Supply is also expected to be constrained by a decrease in average speed due to the implementation of IMO 2020 regulation and the subsequent higher fuel costs, shipowners, liners, and operators are expected to reduce bids in attempt to lower the overall cost.Moving to slide 9, having completed the Diamond S transaction just a few months ago and overall accretive transaction for our common unit holders, we're now focusing on growing our business. Post-transaction, we have a streamlined capital structure, a strong balance sheet, modern assets and good cash flow generation and visibility.Our cash position is enhanced with approximately $63 million cash on the balance sheet at the end of the second quarter, of which only 5.5 million is restricted cash. In addition, as all our vessels are employed on time charters, our working capital requirements are limited. This would allow us to comfortably find our scrubber program as well as new acquisitions without raising external capital at least at this stage.As you can see from this table, the partnership has access to a number of assets with long-term employment from our sponsor, in addition to what is available in the wider market. In view of all this, we're now working with our board and examining various opportunities for growth, both through capital of maritime and affiliates as well as from the second hand market. And we hope that, we will have more to report in the coming months.And with that, I'm happy to answer any questions you may have.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Thank you. We will now take our first question please go ahead. Your line is open.
Chris Robertson: Hi. This is Chris Robertson on for Randy. Thanks for taking our call.
Jerry Kalogiratos: Hi Chris.
Chris Robertson: Hi. How are you guys thinking about the distribution versus maybe unit repurchases in terms of returning capital to unitholders? Would you prioritize one method over another? And are you happy with the current distribution level?
Jerry Kalogiratos: I think at this point and having completed the Diamond S transaction, we want to make sure that we deliver on certain things before we look at our distribution policy. So, firstly, I think we need to continue to deliver on securing long-term employment for our vessels as we did with the two 8,000 TEU Ships that we just fixed to MSC with enhanced cash flow visibility. We need to deliver on the scrubber retrofit program, which, as you know, will significantly enhance our earnings potential.We have locked in already. Apart from that two 8,000 TEU Container charters, increase the rates for our 5,000 TEU containers. In addition to the structured step-up that we have from January 1st, so there is quite a bit of an uptick in terms of the daily -- day rate there. But I think delivering on the scrubber retrofit program is important in order to enhance our earnings potential.Then, I think, as we as we see the MSC charters kick-in as well as the HMM charters kick-in from January 2020, we will see distribution coverage increases and quite considerably from already very strong levels. And also deliver on growth, we have significant room in the balance sheet as I implied in my prepared remarks. We have cash at hand to grow the business without tapping capital markets.I think we need to deliver on all these issues and see the increased earnings capacity, see how our cash flow generation goes which we expect to be quite strong and deliver very strong distribution coverage always after our conservative reserve.And then depending on our net valuation, we will discuss with our Board and decide as to how we handle this excess cash flow generation going forward, but no decisions have been made. I think we need to deliver on all this and see how the market perceives us. I do believe that we compare very favorably with our peer’s big yieldco’s, Maritime MLPs or container companies across almost all metrics. So I think we need to work on our valuation before we take a decision on the distribution.
Chris Robertson: Got you. So just to summarize, it kind of sounds like the current distribution level will at least be stable until you kind of work through some of these things and see some growth lock in some charters in the future and then a future decision would be made?
Jerry Kalogiratos: That's right.
Chris Robertson: Okay. So kind of when thinking about these dropdown candidates, how are you thinking about ranking the opportunities? Kind of what attributes of the vessels or the contracts attached to them would you prioritize over others?
Jerry Kalogiratos: So, that's a fair question. I guess, the idea is to rebuild CPLP and grow by acquiring assets with medium to long-term charters attached. As we have previously said, we tend to be a bit agnostic, when it comes to the asset class, this doesn't mean that we don't have a view on the different industry segments.But having said that, larger containers, especially post-panamax or Neo-panamax is as they're called nowadays is in our view an interesting segment and tends to command long-term employment overall, longer than definitely the smaller sizes. It has evolved into a workforce for the industry. And so, we will continue to look for accretive transactions in that segment.In the table that we have included with dropdown opportunities from our sponsor in our presentation, there are a number of 10,000 TEU containers with long-term charters. And we find this attractive assets and they fit very well with our existing fleet.It will be -- it's really unique fleet, if you think about it -- both in terms of size, characteristics, all of them being in the, let's say, post Neo-panamax segment, a fairly modern fleets and very good charter coverage with very good names.So, that's definitely one corner that we're looking at, but this does not mean that at the same time, we're not considering other segments like tanker or LNG. So, the discussions that we are having and hopefully, we can say more in the coming months.
Chris Robertson: Okay. That makes sense. And then last question for me, in terms of the Amazon and Uruguay rolling off charters next year, what do you think the time charter at market looks like and the opportunities there?
Jerry Kalogiratos: Yes. So, this 9,000 TEU containers are superior to, let's say, your conventional 8,000 TEU container there wide-beam design, very high refer intake and there is very little in terms of supply for 2019. And as a result, operators have already identified possible shortages for the coming years are trying to secure tonnage [ph] even with forward delivery.In a way, we're not in a hurry to fix these vessels, because they have highly attractive assets in this container market and the outlook is very solid. Rates have been increasing as we said earlier, but we're going to be opportunistic.If there is something that we see -- an offer that we see that it's in close to the historical picks or very close to the rate that we are currently fixed, we will of course look at it very closely. But these are definitely the most attractive assets we currently hold.
Chris Robertson: All right. I appreciate the time. Thank you.
Jerry Kalogiratos: Thank you, Chris.
Operator: Thank you. [Operator Instructions] There are no further questions coming through on the line sir.
Jerry Kalogiratos: Thank you very much all of you for joining today.
Operator: Thank you. That does conclude our conference for today. Thank you all for participating. You may all disconnect.